Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to GoDaddy Q1 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Sam Kemp, VP of Investor Relations and Strategy. You may begin your conference.
Sam Kemp: Good afternoon and thank you for joining us for GoDaddy's first quarter 2019 earnings call. With me today are Scott Wagner, Chief Executive Officer and Ray Winborne, Chief Financial Officer. Scott and Ray will share some prepared remarks and then we'll open up the call for questions. On today's call, we will be referencing both GAAP and non-GAAP financial results and operating metrics such as total bookings, unlevered free cash flow, net debt and ARPU. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents may be found in the presentation posted to our Investor Relations website at investors.godaddy.net or on our Form 8-K filed with the SEC with today's earnings release. Unless otherwise stated, when we refer to organic measures, we are referring to those measures excluding the impact of Main Street Hub. The matters we will be discussing today include forward-looking statements, which include those related to our future financial results, product introductions and innovations, our share repurchase program and our ability to integrate recent or potential future acquisitions and achieve desired synergies, Any forward-looking statements that we make on this all are subject to risks and uncertainties that are discussed in detail in our documents filed with the SEC are based on assumptions as of today May 2, 2019 and may differ materially from actual results. We undertake no obligation to update these statements as a result of new information or future events. With that, here's Scott.
Scott Wagner: Thanks, Sam. And thanks to everyone for joining us today to discuss our first quarter of 2019, which is started off at a solid pace. GoDaddy revenue is up over 12% and our cash flow margins continue to expand even with the investments we're making across the business. Companies that thrive over the long term consistently focus on finding new ways to add customer value. And here at GoDaddy we're doing this through constant improvements in our entire experience across product, marketing and care, as we build not just for 2019 and 2020, but for the years to come. Today we'll spend time on three topics. First, I'll share our quarterly product progress both organically and through our recent acquisitions. Second, an update on how we're driving growth in domestic and international markets. And finally, Ray we'll cover our first quarter financial performance and outlook for the remainder of 2019. I'll start with our products. GoDaddy empowers the everyday entrepreneur by designing applications and services that help our customers look good, be everywhere and engage with their audiences. Our feature release pace continues to be rapid and in just the first several months of the year we've taken big steps forward in e-commerce, digital marketing and the WordPress ecosystem. Let me touch on each briefly. First, on e-commerce. Our functionality continues to build on what's now a multi-year effort behind both service and product commerce tools. In March we launched support for digital downloads in online stores, enabling customers to sell music, e-books, videos, art and other digital content. In April we acquired Sellbrite, a world class, multi-channel commerce suite that has tens of millions of orders and billions of dollars of cumulative GMV in channels like Amazon, Etsy, eBay and Walmart.com. We partnered with Sellbrite last year to power our first go central marketplace offer and saw strong early customer traction, by joining forces will more deeply integrate Sellbrite's e-commerce channel capabilities, inventory management and fulfillment tools Indigo Central and eventually into our WordPress offerings. Second, we continue to expand the suite of marketing tools available in GoCentral. At an enterprise or mid-market level you'll hear the term CRM and marketing automation a lot. But for our customers these functions and their digital presence are really all blurred together. And as we help our customers be everywhere, we at GoDaddy at our best when we unite these tools into a simple and thoughtful experience. Today we're tailoring marketing recommendations, using data science, in the GoCentral Dashboard and in March we launched a customer management tool called Connections, which helps entrepreneurs organize and stay close to their customers. We have deep insights into the ventures using GoDaddy and their audiences and this tool is a foundation that we'll use to help simplify, personalize and automate marketing for our customers. This is an important step as we expand what we do, enabling not only the creation of an online presence, but ensuring that it thrives. And finally, we continue to invest behind WordPress as ecosystem of third party themes which make websites beautiful and plugins which give them optionality. At the end of Q1 there were more than three million installs of GoDaddy own plugins and themes in WordPress websites around the world. In April we added to this ecosystem by acquiring CoBlocks which streamlines the WordPress website creation process and ThemeBeans which is a library of elegant and modern website themes. As we expand the resources supporting our WordPress offer, we're bringing an increasingly differentiated experience to the world's largest open source CMS through simplicity, security and elegant design. Stepping back on our products overall, the investments we're making across both GoCentral and WordPress are increasingly being recognized in the market as we pursue strategies that lead to the success of our customers. Let me now turn to our go to market efforts, where we're supporting the product momentum I just discussed by driving consideration and usage for both prospective and existing GoDaddy customers. Our underlying bookings growth accelerated for the second quarter, reflecting strong tailwinds from our brand initiatives and tactical marketing performance. Over the last several years we've grown our incremental marketing spend largely by investing outside the US which has helped drive our global scale. In 2019 we're directing the bulk of our new marketing efforts in discretionary spend in the US and we're happy with the results, including the great early performance of the brand strategy that we launched in February. Our lineup of influencers has resonated well, we're reaching a more diverse audience and our marketing execution continues to acquire customers at attractive economics. Importantly, the metrics we monitor for brand health and how well everyday entrepreneurs identify with GoDaddy are all moving in the right direction. Conversational marketing also continues to ramp nicely with a broader base of campaigns being run against a broader range of customer needs. Since the beginning of 2018, we've taken conversational marketing from a concept, a scaling channel for reaching our base in a helpful, impactful way, all while exceeding our target thresholds for returns. Our international business has been a big success over the last several years and at $1 billion run rate is now larger than all of GoDaddy in 2012 which is the year that we first began localizing international markets. As we look forward, we remain bullish on our international potential and have three core priorities to continue driving growth. First, international market growth starts with localizing our existing products, marketing and care in a targeted geography. We've done this across well over 50 markets and we continue to ramp into new and under penetrated countries, like Germany, South Africa and the Philippines. As we do this we benefit from both the tailwinds of continuing Internet adoption and developing markets and share gains from small and relatively fragmented local players which builds a nice runway in countries across Asia, Europe, Latin America and the Middle East. The second priority is launching products and experience tailored to a markets unique needs which we've just started to do in a handful of regions. For example in Asia we're expanding support for care conversations in WeChat and other relevant messaging platforms. In India, which is a do it for you market, we have a vibrant pro community built around our web pro offering in the GoDaddy brand and in certain price sensitive markets like Brazil, Mexico and recently India, we've launched value priced email through open exchange which has doubled the run rate of email unit sales in these countries. And finally in our largest and most mature markets we look to drive deeper customer engagement which ultimately shows up in ARPU. As you know the US is our oldest market and we continue to grow at a double-digit pace, showing that strategies like conversational marketing can sustain healthy growth over the long term. A ramp of conversational marketing, along with a broader and richer product portfolio and experience has been focused in the US where we're driving significant innovation and as we refine this new playbook we expect to be able to export it to other maturing international markets as a core strategy to drive ongoing growth. The punch line is that we continue to see many vectors of growth in domestic and international markets, supported by a diverse set of product and operational initiatives in each market and for you our shareholders this creates a clear line of sight to continued double-digit top line growth. Before I wrap, I want to emphasize our focus on building a business that's aimed at customer success and that could deliver for years to come. We're proud of the consistency of our execution and more importantly how we've evolved as a company. We've got a good business, a great customer and market to serve and a fantastic team all of which underpinned what we deliver to our shareholders. With that here's Ray to cover the financials.
Ray Winborne: Thanks, Scott. We started 2019 on a strong foot with an acceleration in underlying bookings trends, continued strength in customer and ARPU growth and ongoing margin expansion that balance is growing cash flow with the right rate of reinvestment for the long term. Q1 bookings grew to $871 million, rising 13.5% on a constant currency basis or about 100 basis points faster than fourth quarter growth. Reported bookings growth of 11% reflects about 230 basis points of currency headwinds and at today's exchange rates we expect this to continue into Q2 and be a wash in the second half. Revenue came in at $710 million, growing 13.5% on a constant currency basis and 12% on a reported basis, reflecting 150 basis points of exchange rate headwinds. Like for like revenue growth decelerated a couple of hundred basis points from Q4 which reflects tough comps from a year ago, most notably in our aftermarket business. Our key metrics remain strong, reflecting goodness in both ARPU and customer growth. ARPU rose to $150, up 9 % year over year and normalizing for acquisitions and currency remained steady in the mid-single digit range. Our customer base grew more than 6% to $18.8 million, adding over 1 million net new customers in the past year. As we see continued strength in new ads and modest reductions in churn, Unlevered free cash flow for the quarter grew 22% year over year to $199 million. Our trailing 12 month unlevered free cash flow margin expanded to 24%, up over 100 basis points versus a year ago. On the balance sheet, we finished Q1 with $1.1 billion in cash and short term investments. Net debt landed at $1.3 billion or about 1.9 times net leverage. As Scott touched on earlier, we made a couple of smaller acquisitions after the quarter ended, which are immaterial in both cash outlay and their contribution to the P&L With that, I'll turn to our outlook for the rest of 2019. We continue to expect mid single digit growth in customers and ARPU will produce full year revenue of $2.97 billion to $3 billion, implying full year growth of 12% to 13 %. For the second quarter, we expect revenue of $730 million to $740 million, representing 12% to 14 % growth versus the second quarter of 2018. For full year unlevered free cash flow, we expect to generate $730 million to $745 million, representing a 0.5 of margin expansion versus 2018. With our recent credit rating upgrade, we now expect net cash payments for interest in 2019 to be $80 million to $85 million, yielding slightly faster growth and unlevered free cash flow in 2019. Stepping back, we continue to deliver consistent results, while executing against our key priorities in customer experience, product and marketing, laying the foundation for sustainable growth in the future. Thanks everyone for joining us today. And with that operator, let's open up the call for questions.
Operator: [Operator Instructions] Your first question comes from Brent Thill from Jefferies.
Brent Thill: Good afternoon. When you talk about the bookings growth acceleration to 13.5 and 12.5 in Q4, can you just talk through maybe what you saw in Q1 that led you to that? And then secondarily, some of us or customers of yours and we noticed some small price changes in our bill where we haven't seen that in the last couple of years. Is there a broader price increase going through the system or is this just selective in some areas be helpful, many others have obviously raised prices across tech in the last year and I think there's a lot of questions from investors around your approach in pricing? Thank you.
Ray Winborne: Hey, Brent. It's Ray. I'll take the first of those and I'll pass it to Scott on pricing. As far as the acceleration in bookings quarter-to-quarter, it was broad based across a number of areas where we're driving change in product, as well as go to market and merchandising. And you can see that show up in both the customer growth, as well as the ARPU growth.
Scott Wagner: Yeah. Hey, Brent. And on your price question. Overall, our strategy is having an incredibly valuable product at a valuable price and over time you know we're constantly looking at how we wrap our products together with the lowest prices you know. And tweaking - tweaking that. So that again there's overall value. You know again our combination of ARPU is around adoption of products. It's around value-add and then select pricing. And I think you're wrapper comment was is what you saw selective and the answer is yes selective. It fits with the philosophy and strategy we've had for a long time around value product at a value price.
Brent Thill: Thank you.
Operator: Your next question comes from Jason Helfstein from Oppenheimer.
Jason Helfstein: Thanks. Two questions. One, can you talk about the currency impact on business applications. I think you did mention that it was tougher comps and I'm just wondering you know, kind of currency impact there? Question two, when we think about e-commerce, how do you expect to monetize that. Is that a function of getting customers to adopt higher ARPU, was there - or another way that you'll kind of monetize that? And then just lastly housekeeping, from here do you think kind of expenses should be more linear or just because of the moving parts. I think the street and ourselves has kind of struggled with modelling expenses and kind of from here do you think it gets more smoother? Thanks,
Ray Winborne: Hey, Jason. It's Ray I'll take the first one and the last one, I'll pass the one on e-commerce to Scott. When you're looking at biz apps, I wouldn't point as much to currency within there, there's about 150 basis points of currency headwind in the revenue this quarter and a disproportionate amount of that headwind is actually in the Hosting and Presence line. With biz apps it landed you know, exactly where we expect in the quarter. If you'll recall from the last fourth quarter call, I talked about us lapping a number of initiatives and merchandising changes from last year, just creating a little tougher comp this year. It is still by far our fastest growing product category. We're on a trajectory now for this to be a $0.5 billion business this year. And if you look at the quantum of growth on a dollar basis, it's been pretty darn steady, if you look at past about four or five quarters. We continue to see line of sight there to hit that three to four times customer growth algorithm. We've been talking to you guys about our longer term.
Scott Wagner: Hey, Jason. It's Scott. And on e-commerce, right now both we as GoDaddy, plus Sellbrite both monetize through subscription and as of right now our focus is going to be around driving unit adoption. So Sellbrite combined with GoDaddy to have an incredibly valuable capability not just to have an online site in the open web, but also connect that card to everywhere it needs to be online and to have that for monthly subscription. Now we will obviously think about and look at ways to think about transaction flow over time, but as of right now our focus is going to be around driving units and driving adoption.
Ray Winborne: Yeah. And on your last question around expense growth. You know, we talked to you guys through the back half of last year where we were investing back in the business, given the tailwind we had on revenue, you will see that combined with the cash burn from Main Street impacting our expenses through the second half of this year, then you should start to see those growth rates level out in the back half.
Jason Helfstein: Thank you.
Operator: Your next question comes from Zachary Schwartzman from RBC Capital Markets.
Zachary Schwartzman: Thanks for taking my questions. Scott, in your opening comments you spoke about your bullishness on the international opportunity, including India and how the "do it for you" market. You also called out the launch of your open exchange power business email there. Can you remind us how many current customers you have in India? And talk a little more about the geographic opportunity - opportunity and the ability to expand your go to market capabilities there? Thank you.
Scott Wagner: Hey, Zach in India, we've said we've got over a million paying customers in the market which is great. Obviously, India is still in pretty early stages of open Internet adoption and you know our own growth there will be continuing the ride that adoption curve. And as I mentioned particularly of a couple of tailored products to the pros who build online presences for others. And so you know, we think that India has continued trajectory and you know I'd say what we're also seeing through hope and exchange and other things is really nice growth in other emerging markets like Brazil and Mexico.
Zachary Schwartzman: And a quick follow up on Brent's question earlier on some of the selective or just the normal industry pricing changes from some of your peers. Are you seeing any I guess read through is from that - the amount that were from the selective price increases or do you feel that there's a further opportunity for your most engaged customers whether that's through additional product expansion or pricing levers? Thanks.
Scott Wagner: I would - nothing that's I think particular to call out to everybody, again our - the strategy around value product at a value price point is great. I will say there are others in our industry that are very explicitly trying to drive significant price increases in a couple of categories. I think that puts us in a nice relative position. Our biggest focus is around quality right now of the experience around adoption and units and being able to do more with our existing customers. So you know, in terms of the premise of your question, I don't think there's anything that I or we should call out specifically and again our focus will be around doing more with our existing customers, driving value in adoption and that'll show up well over time.
Zachary Schwartzman: Thank you.
Operator: Your next question comes from Sterling Auty from JPMorgan.
Unidentified Analyst: Hi. This is Brown [ph] on for Sterling Auty. Thanks for taking the question. So I know you mentioned there were some FX headwinds in the Hosting and Presence segment. I was wondering if you could touch a bit on the contribution from Main Street hub and GoCentral in the quarter and what the performance was for those?
Scott Wagner: I mentioned with Jason's question around the FX exposure there. From a Main Street perspective, you know, we had disclosed to you guys a $40 million run rate to $10 million a quarter for Main Street in that existing business and that's good place over for you to continue to push in there. As far as GoCentral and Managed WordPress, the two applications show up in that line. We're not disclosing that every quarter Scott talked about it last quarter with the 40% growth. We're continuing to see good growth in those applications.
Unidentified Analyst: Thank you.
Operator: Your next question comes from Matt Pfau from William Blair.
Matt Pfau: Hey, guys. Thanks for taking my question. Just have one on Sellbrite. So my understanding is that a lot of your e-commerce companies or at least are more weighted towards services business versus product business. So is the plan with Sellbrite more to expand the product portfolio to bring new product selling businesses into the mix. Or is there a sizable base of product customers within your existing e-commerce base that you can take to Sellbrite tool to?
Scott Wagner: Well, I think it's about expanding the range of capabilities within e-commerce, so you're right around you know service commerce and that's something that we've certainly ramped up over the last couple of years. And Sellbrite adds a capability again where you know somebody who's card can now absolutely get syndicated managed and show up across the big marketplaces. And that's just a great capability around product commerce. And so we think that this will allow us to deliver incremental value certainly GoCentral towards product commerce and down the road it's a great capability to add to WordPress. And so if you think about a lot of the footprint of e-commerce retail around there's a frankly a huge chunk of installed base within and around WordPress and we're excited about the capability that Sellbrite offers and how to deploy it not only to go central but also to the world WordPress community.
Matt Pfau: Great. Thanks guys for taking my questions.
Operator: Your next question comes from Ron Josey from GMP.
Ron Josey: Great. Thanks for taking the question. Scott, two please. Just I think you mentioned most new marketing efforts in discretionary spend would DE [ph] directed here in the US. And so could you just talk a little bit more about your marketing strategy here in the states specifically and maybe the products you plan to highlight last lead with. And then sort of as a secondary to that. You know, I'm pretty intrigued with the connections tool and bigger picture. How you view connections with marketplaces and GoCentral in terms of the marketing messaging and just basically the product together and sort of bigger picture where that can go? Thank you.
Scott Wagner: Great. Yeah, thanks Ron. Well, you know in the US the strategy has been to emphasize the GoDaddy brand and really standing for empowering everyday entrepreneurs and you're seeing that whether it's in social media or different YouTube executions ways to show and link GoDaddy to the full lifecycle of things that we can do with our customers. Because right now the richness of our product portfolio it is still something that frankly we've got an opportunity here in the US to expose or almost reintroduce ourselves to both existing customers and prospects. And so that's been the strategy and focus of frankly incremental dollars through the year and then when we say both brand enhancement and conversational marketing it's about those two things. So that's the first. And frankly again we're happy I think with the results both in terms of the receptivity of the message and how it's showing up in dollars. To your second question around connections. Think about that as a foundation. And it's a foundation in digital marketing that really brings together website, digital marketing and social presence, which are a continuum now and we're really poised to bring all three of those capabilities together in an easy simple way for customers, both at a product level and then obviously when you think about Main Street Hub that's a bit of a hands on execution that for certain people who need extra help or want somebody to take on those services for them or set up to do it. So appreciate the interest and connections and I would think about that as a foundation in digital marketing that we're going to do a heck of a lot more work in the quarters to come. So stay tuned.
Ron Josey: Okay. Thank you.
Operator: Your next question comes from Ygal Arounian from Wedbush Securities.
Ygal Arounian: Hi, guys. Good afternoon. So maybe I'll start with Scott. Clearly a lot of focus on hosting a presence, building on the products out there, accelerating the pace of the rollouts, Scott, we haven't heard as much about product rollouts in business applications just wanted to get your thoughts on kind of next steps of products that you could add to grow the value of that segment?
Scott Wagner: Yeah, thanks. We don't, you know, don't run away from OX and what we've just done with Open Exchange, which is to be able to enable a world class e-mail productivity capabilities that a frankly really low price point. And so that's rolling out across emerging markets and we've doubled unit sales in some of the emerging markets that that's just been recently introduced, and so that's been a really nice execution that we're ramping up around the world. And we're excited about that on what it can do and then per Brent's question around it both digital marketing which really expands categories. Again, there's going to be more to come there to.
Ygal Arounian: Great. I guess, I didn't mean to ignore Open-Xchange. I'm just thinking outside of email but, thanks for clarifying. Let me just ask one more on Managed WordPress and you know how you guys see the Managed WordPress product again .obviously you're starting to build out the e-commerce side a lot more, it feels like more of that is starting on the GoCentral side and you know, I understand that Sellbrite will eventually work its way up. How do you see your Managed WordPress and the things you do in there, how they fit in today's more advanced website builder ecosystem especially when it comes to e-commerce? Thanks.
Scott Wagner: Great question. So first on Managed WordPress, again for context for those listening that may not know WordPress as well, you know WordPress is far and away the largest online publishing CMS, but obviously built on open source software and there's kind of four principle considerations and ways to add value around WordPress. One of which is site management, plugin updates is the single biggest pain point that any user of WordPress faces. Second is security and then third is sort of performance speed availability of sites themselves. And the fourth is kind of ease of management, simplicity of design, right, inherently as an open source system, you know a simpler framework around design and management. And so are our strategy around WordPress is not a side by side with what we're doing around GoCentral and is really aimed at those four things that we just talked about. And just to highlight what we did with ThemeBeans and CoBlocks both of those bring nice capability around the design making WordPress sites even easier to design and manage. So we're excited about it. Down the road and looking forward, we think there are nice opportunities to blend the capabilities between GoCentral and WordPress, but we'll get to that a little bit in the future. But we see these two things as both critically important and addressing the major needs of not just websites, but really publishing site creation and bringing websites social media and digital marketing together.
Ygal Arounian: Thank you. That's really helpful.
Operator: Your next question comes from the Naved Khan from SunTrust.
Naved Khan: Thanks a lot. I have a couple of questions, so maybe just FX, did the headwinds intensify a bit versus what you guided back in February? And then maybe a high level question on marketplaces. Scott, you know when you acquired Main Street Hub, you kind of spoke about the opportunity there, maybe up to 2 million subscribers could be - could be using over time. Could you sort of give us a big picture opportunity for marketplaces maybe?
Ray Winborne: Hi, Naved. It's Ray. I'll take the first one on FX. The headwinds were right in line with what we expected. I think I said two to 250 basis points on the fourth quarter call and it came in here right in the middle there. As we look into the rest of the year as I mentioned on my call comments, we would expect a similar pressure in the second quarter. And then that will balance out over the remainder of the year.
Scott Wagner: Thanks. And on Main Street Hub, we've been focused on doing two things with the capability of Main Street Hub. The first of which is product - bringing the product to Main Street Hub, which is really social media reputation, management and it's assisted - assisted reputation management through social and bringing it together with GoDaddy's website building and site creation capabilities. And we're pleased with the progress there. That's one team in our presence unit and it is being set up really well. The second has been to rebrand the Main Street Hub social media services as GoDaddy and introduce it into GoDaddy base. And as you mentioned we had shared a 2 million-ish whitespace or customers that were either buying those services from others or had high interest in it. And as we've rebranded those services as GoDaddy and are starting to introduce it into our base, we're seeing really nice take rate far above what Main Street Hub did on a standalone basis. And I would say that's on top of the acquisition you know pieces in case and so we're you know we're tracking where we want to be.
Naved Khan: And just to sort of extrapolate from that. If I look at marketplaces launch e-commerce product what percent of your base you think could be adopters of that over time?
Scott Wagner: You could rather than share a specific number. Our potential to grow product commerce is via from the base at which we we're starting is quite high. And again I - would think about ways to frame it as that. Think about the number of WordPress sites that actually sell a product and we think again with a Sellbrite that's a really neat capability to add unique value to WordPress sites in particular. GoDaddy is the largest WordPress - the WordPress host. As Ray mentioned we have over 3 million plug ins and installs, obviously all those are not product commerce, but there's a base of WordPress sites that are product commerce that we think have you know that's the target environment within the base for incremental Sellbrite activity.
Naved Khan: Thank you.
Operator: Your next question comes from Nick Jones from Citi.
Nick Jones: Thank you for taking the question. I just want to touch on CoBlocks and ThemeBeans. How big of an opportunity is there for you to consolidate third party plug-in and things like that. I know you present a free deep offering there?
Scott Wagner: Thanks. I'm not sure it's consolidation as much as - bring capability to have a world class plug ins within the GoDaddy environment. I mean there's just - there is a lot of opportunity for us to add value for all of the WordPress sites sitting in our base and you know as you mentioned both CoBlocks and ThemeBeans what we're really able to do with those two is we and make the site design process easier, simpler. That's going to be great. And this is a step and we're going to do more - more of these kinds of things around WordPress both organically and in the right spot through M&A to.
Nick Jones: And one follow up on the kind of [indiscernible] sub domains, do you know how prevalent that is. Is that something that we need to invest in monitoring or closely or how should we think about that?
Scott Wagner: Sorry can I have the question again. I didn't - it wasn't - didn't catch the first part of part of it.
Nick Jones: I was asking about the band sub domain?
Scott Wagner: We're just regular part of our practice, super tiny number of sites and this is just part of our ongoing legal site review process, but nothing special to call out there and it was a tiny number of sites.
Nick Jones: It's a in my closet.
Operator: Your next question comes from Lloyd Walmsley from Deutsche Bank.
Unidentified Analyst: Thanks for taking the question. This is Seth on for Lloyd. Last quarter you talked about Mexico and Brazil being able to provide an email seat for a $1.50. So we're just wondering how the uptake has been trending there and if there are any levers in the future that you'd be able to pull in order to raise ARPU? And then just as a follow up. It doesn't look like you bought back any stock this quarter last quarter. Just curious as to your updated thoughts on capital allocation and as well as what you're seeing in the M&A markets so far this year? Thank you.
Scott Wagner: Sure. On the first we're seeing 2x the level of unit sales and in those markets and we're in the process of rolling out open exchange around the world. Boy it's great to drive unit adoption and usage and you know that'll create a lot of value. So right now we're focused on driving OX adoption into emerging markets around the world. I'll let Ray coming on the second question.
Ray Winborne: Yes I mean, you know we can't get into the details around stock buybacks, but we're economically management team. You know as far as capital allocation priorities go they haven't changed. It's organic growth, M&A, share repurchases in that order.
Operator: Your next question comes from Mark Grant from Goldman Sachs.
Mark Grant: Hey, thanks for taking the question. I just wanted to touch on the investments around technology and platform that you've been making we've been talking about for over a year now and really building out that technology platform it seems like those investments are making it easier to make some of these tuck in technology acquisitions and just plug them in and have it work. So whether it's managed WordPress GoCentral, where do you think you are in terms of bringing in all the capabilities that you hope to offer? Are there any features or products that you think the platform is missing that you'd need to focus on?
Scott Wagner: You know Mark I wouldn't talk about it as specific feature capabilities. I think there's a couple of things that you're seeing us do if you look at not just feature releases but what we're doing. The first is bringing site creation which was really publishing into the open web, social media presence and digital marketing together. And I could pick off certain features and elements in each one of those categories. But we've got a I think a whole different level of capability that's coming in the intersection of those three things and what we're trying to do at a high level is have somebody whose idea there whether it's business or venture look great. Be everywhere it needs to be and allow somebody to engage with their own audience. And that - those are the customer things that we're driving. And really it cuts across sites social media and digital marketing. And it is an important and the elegant thing about GoDaddy is that we're creating DIY technical tools to allow people to do that in an elegant way. And building a service capability where we can put hands on work for the 50% plus of the world that actually wants somebody else to either build or manage their online presence. And you know that's the strategy and we continue to build capability to fulfill frankly that value proposition.
Mark Grant: Thanks. That's very helpful.
Operator: That was our last question at this time. I will turn the call back over to the presenters.
Scott Wagner: Hey, everybody thanks for joining us. Appreciate the questions as always and we'll talk to everybody next quarter. Take care.
Operator: This concludes today's conference call. You may now disconnect.